Louis Gries: Okay, good morning, everybody. Same drill as always. I'll review the businesses pretty quick. I'll go through the slides fairly quick, give you an opportunity to drill down with your questions later and Russell will run through the financials. 
 As you, I think, probably already saw, this isn't one of our best quarters. Not a terrible quarter, but not what we planned. So the net operating margin profit, excluding the normal stuff, is down and we'll go to the various reasons, there's no one reason for that, but there are various reasons that kind of led to that result. 
 With the U.S. business, volume is up 6% which is a little short of what we have planned and we were thinking it would be more like 9%. And when you look at the full year, I think it's -- half year, sorry, or at half year, I think, it's like 11%. We'll get to that slide next. 
 We did think the second quarter didn't have any problems in the volume side, it was just kind of a quarterly variance thing, because the order file right now is okay. First quarter was a little bit more than we thought, or right where we thought we could get, second quarter was soft. 
 Price coming into the year, we gave you that guidance flat, plus or minus 2%, and we're down to minus 2% for both quarters, which is a little bit worse than we thought it would be, not a huge, obviously, reduction in price, but it is a stubborn reduction in average price. Now they have the same guidance the rest of the year, flat, plus or minus 2%. And we think we'll be looking more like the flat then right on the bottom of the range we gave you. It's still a little bit early to call out but it looks a little bit better. 
 The EBIT, as I said, down 7%. Basically a few things we talked about. The volume wasn't quite where we thought we'd have it, the price a little bit below what we thought we have in the quarter. And then our costs -- on the cost side of the business, they were kind of where we thought we'd be in the quarter. So that basically delivered an 18.5% EBIT margin. We were thinking we're 3 points higher than that, so we did come in short of what we thought we would. 
 When you look at the half year, I guess it's kind of the same story, just not as much quarterly variance. The sales volume is okay. We're indexing the market plus around 4.5%, 5%. So in old terms, where we just talked about PDG, that's kind of the range. The first half ran and now the second quarter is kind of a negative. In the first quarter, a positive to get to that 4.5%, and when I say a negative in the second quarter, it was just less than 1% negative. 
 And as we've talked about that calculation, you never want to look at it quarter-to-quarter, it's just too much variance but through the first half of the year, about 4.5% or 5% right now. Average price, like I said, both quarters came in about the same, down 2% on last year. 
 EBIT for the half year is flat even though we have the extra volume to work with, and that's again due to the price being off a bit and the cost up, which are more planned up than a problem being up and 19.2%. So right away, I mean, I'm sure we get every quarter with a 19.2% at half year, we don't expect to stretch up to the 20% for the full year. If we delivered that 3 points more in the second quarter, we would have a shot at it, but we don't really have a shot at it. It's not enough forecast anymore. It can be off a whole bunch but it's not going to stretch up to 20% for the full year. 
 The net price, as I said, you can see we hit kind of our high price, in market price in fiscal year '11 and we're off a bit from that. Not really a price decline. There is some reduction in selling price into some segments, mainly multifamily and some of the Cemplank business. And there's also a bit of an increase in the mix on those products, and that's offsetting the mix improvement we have on some of our higher priced products. 
 The price actually started coming off about this time last year, so that's why I think, for the rest of the year, we comp better than we did the first half of the year. Not that our prices are going to be necessarily higher but our comp will be lower, that we'll be going against. 
 And then, I guess, this is a pretty telling chart, counted it up here, I can count to 10, and 7 out of the last 10 quarters, we're actually below our target, which I think for us and for people that invested in Hardie, that's a bit of a surprise. Now first half of that is more about just how low the market got when it is really kind of dead. So I think the first 4, 5 quarters of that is probably very good performance. 
 I think what we've seen since, in the last 4, 5 quarters, we did really well moving from a boom market into a down market. We took a lot of cost out of the business, held our returns together. Our organization's actually struggling a little bit more than what I would've expected going back to market recovery, so trying to get back to growth. 
 So obviously, we took cost out so we have to put cost back in, but the ramp up on that cost add isn't as efficient as I thought it would be. It was probably a bit naïve on my perspective but, at the end of the day, it's still the right thing to do to take the cost out because we had a long period of time we didn't have the cost in the business. 
 The other thing is our business, our product mix especially, is quite different now than it was going into the downturn. So some of the costs we took out going into the downturn are actually costs we're not adding back in now. So we're adding back in a different kind of cost, both from a capacity standpoint or what we call MG&A and also from an SG&A standpoint. 
 So like I said, I don't think -- so I think we're -- I'm not saying we couldn't hit a 20% in one of the 2 quarters remaining, but we've got 7 out of 10 below. Maybe we end up with 9 out of 12 below. And at that point, you guys say, "Well, that's where you guys live, right? 9 out of 10 below the target -- or 9 out of 12." I don't think that's the case. I just think, as we've indicated in the past, we would hate to pass up any kind of the growth opportunity window just to deliver inside that target range because it's a small difference based on what we are delivering. 
 But if things kind of progress as they appear to be on the market side, we, as an organization, get our arms around building the organization back up, I would say we'd be aiming for that target again next year, and then expect, once we get into target, expect to live in the target for a long period of time, or above the target like we did in previous years. Of course, that all remains to be seen. 
 The housing market itself, you guys would know all the facts. Most of us there in the industry believe it's recovering, and we're optimistic that it'll continue. So certainly, we're planning that the market will get better again next year. It's not going to shoot straight up. We don't expect it to spike. If it did, we'd have to scramble for capacity but that's not what we're expecting at all. So we're pretty well set up for kind of a bullish upside to what the forecasts are for next year. 
 Asia Pac. Like the U.S., the only thing, a different story. Asia Pac did not run as well as we would expected it to last quarter, and really for the first half, I'd have to say the same thing. It's not that it ran poorly. It's having the opposite problem. It's just struggled a little bit more than we thought it was going to as the volume came off. 
 Now a big part of that EBIT drop is a $5.7 million provision, we took in a New Zealand business, U.S. dollars. But even kind of moving that to the side, we were expecting the business to do a little bit better than it did in the second quarter. 
 Again fundamentally, it's just a great business. There's nothing wrong with it. We're just in a short-term funk. We don't think it's a long-term trend at all, and we think we have good organization, a good strategy and we'll move forward in a more positive way, as even if this [indiscernible] strategy doesn't get much better, we think our results will start getting better. 
 And half year again, it still is at $5.7 million in there, but the half year results minus the $5.7 million comes out to something like, I can't remember exactly, but it's like off 14 or 15 on the EBIT line. So like I said, it's not like we're expecting to grow EBIT or anything, but we think we could've done 4 or 5 points better than that. 
 On the summary, I kind of gave it all to you. Of course, we have some more bullet points here. Again, housing market has gone from being a major concern to one that everyone's kind of feeling like we can operate in the current market, and certainly, we're one of those companies that feels that way. And we do feel it will continue to get better. We don't have any hard evidence but there's no real evidence that it's likely to get derailed, either. 
 Kind of what I said, more of our board is going to multifamily and the Cemplank and the new construction more toward the bottom of the market so that's had some impact on price. Input costs have been good. Pulp's down. Freight. Freight is down slightly but we're managing freight better so we're actually doing pretty well there. Actually, this is one of the -- my disappointment is with the lower input costs, we're not taking advantage of them on the EBIT line as much as I thought we would.
 Now we do have higher fixed costs. We're doing a lot of the capacity work both in the U.S. and Australia, and that's showing up in our fixed cost, we call them MD&A. And of course, we've got the higher SG&A cost trying to get ready for more market share growth. 
 In the Asia Pac, again, we're kind of figuring a flat to slightly better market in Australia next year. If it were better than that, we'd be ready for it and if it was worse than that, we'd have to react. But we're kind of seeing flat to slightly better is what we're planning around. 
 The rest of that, they cover the $5.7 million. The rest of that was kind of in the slides. In the outlook, I don't think it's anything new. We're certainly not changing strategy. In the U.S., it's getting ready for market share growth, more market share growth, getting our capacity in line. 
 And then in the Australian business especially, we do need to make a capacity decision which we haven't sorted out yet because we're trying to greenfield some capacity here and it's just coming in very expensive, so we haven't got it to a number that works yet. So we're still working on that. And Philippines and New Zealand, New Zealand is running better but the market's not great. It's not getting worse so we're running better in a flat or slightly better market. 
 Okay, and like I said, the priorities are the same. We want to grow the business organically like we always try to do. We think we're into a window of opportunity in the market where that's going to be easier than in the past so we're willing to invest more money in it. We got to make sure we get our capacity reset because our product mix coming out of the downturn is different than into the downturn, so we're reengineering the Fontana plant for that. Before we start it up, we're looking at Summerville in the same way, plus we have 4 other capacity projects in the U.S. and then the one project down on here. 
 So that's it. I'll hand it over to Russell, let him go through the financials and then let you guys drill down on your questions. 
Russell Chenu: Good morning, everybody, and thank you, Louis. Louis has, I think, dealt with most of these issues, but I'm just provide a little more color on a couple of them. Really the results in the second quarter were impacted by improved sales volume in the U.S. business, and the market environment there is, obviously, better than it was a year ago. But for us, price has been constrained and so we're not seeing the volume flow through to the bottom line to the extent that we'd like it to. 
 We're increasing our spend in particular areas of the business, particularly around sales and marketing, but it is broader than that, as we build -- rebuild our capability. We had a -- in Q1, a non-recurring foreign exchange gain of $5.5 million, which obviously was a benefit in Q1 and in the year-to-date. And in Q2, we've had a recovery of $2.7 million of legal costs relating to the RCI tax litigation but was concluded, late last financial year. We're calling those out just because we do not see them as non-recurring items, but we're not adjusting for them in the same way we do with ASIC expenses or asbestos adjustments. But perhaps just add that the $2.7 million we recovered in relation to the RCI litigation is a fraction of the cost that we incurred for the years 2006 to 2012. 
 In addition, we had a charge in Q2 for an increase in a provision for product liability claims in New Zealand. Louis alluded to that, I'll just provide you with a little more detail. New Zealand changed its building regulations in about 1998 -- 1997, '98. And claims that we're dealing with on product liability actually going back to the period 1997 to 2004. They're quite old. We have been incurring expense in relation to those claims from 2004 onwards, and we haven't identified them previously because they're just being treated as business as usual. 
 What has changed for us is that, the insurance that we have is being eroded, and now with the number of claims that have been coming through, we can see that we're going to be bearing a big chunk of the cost that we have not been bearing previously. 
 This is not a Hardie issue, that's specific just to Hardie as an organization. It's a very widespread issue in New Zealand. Governments, both local government and the national government, are involved. I can't give you an estimate of the total losses, but if you Google New Zealand weathertightness, which is what it's called a New Zealand, you'll see that there's a string of data and it's getting a lot of public policy action. There are multiple defendants. We're just one of a number, and in fact, we're probably a very minor defendant in the overall scheme of things. It actually relates to moisture ingress into buildings. It arises from bad design, bad certification and a multitude of other factors. But I would highlight that we're just one of many, many defendants in the actions. Most of them are settling, they're not all going to litigation. But the expenses involved in both settling and in legal cost is fairly significant across the country in relation to these matters. 
 The $10.7 million provision that we disclosed today is our current best estimate of the remaining costs to incur. But there is a risk that, that isn't sufficient and we may have to adjust in the future. 
 Moving on. We've contributed USD 184 million to the Asbestos Fund this year, arising from the 35% of the cash flow that James Hardie generated in the 2012 financial year. We've also paid a very significant dividend during second quarter, which related to the second half ordinary dividend from FY '12, something in $66 million, which brought the total distribution in -- from FY '12 earnings to $183 million for the year. 
 We've also declared today, a first half ordinary dividend of $0.05 per share, which is up from $0.04 last year, so a 25% increase. I would highlight that, for Australian investors, our dividend is unfranked because we're a foreign company. So foreign companies who pay dividends to Australians are not entitled to franking credits. 
 Moving on to Slide 18. You can see here that in the period under review, Australian dollar was slightly weaker than it was in the September quarter of last year. The impact of that is an asbestos adjustment, which is adverse for us on reevaluation of the asbestos liability and also some impact on the translation of Australian earnings to our Asia Pacific earnings more specifically, but largely Australian. 
 The Q2 results, you can see here that on a consolidated basis, net sales were $334.4 million, which was up 1% on last year. Our gross profit is down slightly just 1%. SG&A expenses were up, as Louis alluded to, up $8 million. That includes the $5.7 million in relation to New Zealand product liability and also the $2.7 million legal cost recovery relating to the RCI litigation. 
 So there is expense both that is unusual, a bit of income that's unusual and then we've got the funding of the SG&A activity in the U.S. business as we improve capability. R&D was up 30% to $9.5 million, and asbestos adjustments, you can see there, a very large swing of $109 million, which accounts for most of the swing in the total net operating profit, as reported. 
 Adjusting for the normal things that you do, so adding back the asbestos adjustments, being the most important one, you can see that the profit that we are reporting is $34.8 million for the quarter, which is down 16% on the prior corresponding period. 
 For the half year, net operating profit was, as reported, was $83.5 million, down 35%. That's after the big swing in asbestos. And net sales for the half year were up 4% to $674 million, with a gross profit that was steady. SG&A up and R&D up as well, as you can see from this slide. 
 On a recurring basis, after adding back the asbestos adjustments, you can see that the profits for the half year were $78.6 million, which is down 2% from the $80 million prior year. 
 Looking at segment sales. U.S. sales revenue up 4% for the second quarter on a 6% volume increase, and Asia Pac was down 6% on sales revenue on a 4% volume decrease. Most of the adjustment there was due to a change in volume and value, but there was also a slight impact, about 1%, due to currency of a weaker Australian dollar. In total the consolidated net sales for the quarter, up just 1% to $334 million. 
 And for the second half -- sorry, the first half, USA and Europe Fibre Cement up 9% in sales revenue on an 11% increase in volume. You can see from the earlier slide that Louis showed that unit price was down about 2% and it's reflecting in this number. And Asia Pac Fibre Cement was down 6% in sales revenue on a 3% decrease in volume. 
 Looking at the segment. The EBIT down 7% in U.S. and Europe, down 39% in Asia Pac, substantially affected by that $5.7 million product liability charge in New Zealand. Research and development expense up quite a bit to give us a total EBIT, excluding asbestos and ASIC expenses, down 21% in Q2 $46 million.
 For the half, a similar sort of pattern although the U.S. and Europe had a stronger half than the second quarter, so it's down 1% at the EBIT level. Asia Pac was down 29%, again, impacted by the $5.7 million charge. Research and development up and the EBIT, at $103.6 million was down 10%. 
 The general corporate cost there reported a net of the FX gain from Q1 and also recovery of the $2.7 million of RCI costs, giving rise to that benefit, lower outcome there. 
 Income tax expense. Income tax expense for the quarter is $10.3 million. It's down on last year, which was $14.2 million. The effective tax rate was 23%, which is down on 25.9% last year, but still within the sort of guidance that I think we've previously indicated which was 25% ETR plus or minus 2%. That 23% just reflects a true-up for the full year, which I think I've indicated to people before. 
 And under U.S. GAAP, companies are required to actually forecast their full year tax expense and derive a rate, and then you apply that rate so the 23.3% that you see for the half year is actually our expected -- current expectation of the full year tax and expressed in a rate and then we apply that to the half year. Again, within the sort of guidance that we've previously indicated. 
 Looking now at cash flow. At quarter end, also half year, that's had quite a bit of activity in it, we started off this half year with a beginning net cash of $265 million which you can see on the second to the bottom line there. During this quarter in particular, we've paid $166 million in dividends. We've also had a large tax outflow. You can see there a tax outflow of $84.9 million. That $80 million of that was payments of Australian tax, which arose from the settlement of the -- or closure of the RCI case. Over the years, from when that amended tax assessment was issued in 2006, we've been paying interest and we get a deduction for the interest. Clearly, at conclusion, we received a large refund and the refund contained the large interest income component, and that income is taxable in one year. The result of that is that we've used up all of our asbestos contribution deductions as of the end of March this year, and so we were left with a fairly large tax payable liability as well. So $80 million of that $84.9 million, is Australian tax. 
 I think those are the 2 major cash outflow items that impacted the half and they did occur in this quarter. We have had a higher capital spend. You can see there, it was $18 million last year in the first half, $25.5 million this year and we'd be expecting that capital spend to continue to increase in the future quarters. 
 Turning now to capital management. As indicated earlier, we've announced this morning that we're increasing the dividend for the first half from $0.04 to $0.05 per share. That will take approximately $22 million out of cash in January 2013, with a record date of December 2012. There was no share buyback activity during the half year, but we have announced some near-term plans this morning. 
 The first one is that, subject to share price levels, it's our intention to become active in the share buyback, and we may spend up to about $150 million, subject to attractive share prices prior to May of 2013. 
 We've also announced that we've revised the dividend payout ratio, with effect from 2014. Our current dividend payout ratio is 20% to 30%, which is applied for the past 18 months or so, and we're increasing that to 20% to 30% of [indiscernible] excluding asbestos adjustments, with effect in 2014. 
 If we're not successful in the share buyback or to the extent that we're not successful in applying funds to share buyback in a period to May 2013 when we will announce our full year results, we intend to pay a large dividend to shareholders, approximately $150 million if there's been no share buyback activity. 
 So we've had large distributions from FY '12 earnings. We anticipate having large distributions from FY '13 earnings, including the impact of the RCI proceeds that we received in February, March of 2012. And this is part of a plan to get our capital structure to be far more efficient than it is. 
 It's not something we're doing immediately, obviously, but we intend to get our capital structure way more efficient than it has been for the last couple of years, or last few years, but it might take us a little time to get there. 
 This takes us to the debt position. You can see here that we've unutilized facilities of $280 million and that cash at the end of September of $77.3 million. We've got liquidity available of $357 million. We will be undertaking a refinancing during the next couple of months, and we have to conclude that by the end of this financial year, which is March 2013, and we are well within our debt covenants, largely as a result of not having any borrowings at the moment. 
 A quick snapshot of the Asbestos Fund position. Hardie contributed AUD 177.5 million to the fund this year, and so it's sitting on a cash position of AUD 171.9 million, and that's after repaying about  AUD 30 million that the fund borrowed from the New South Wales Government facility in February and then repaid in early April. So the fund has a very strong liquidity position, in fact, the strongest it's been for 3 years or so. And that's, I think, something that's very important to, obviously, claimants as well as to the fund directors. 
 Looking at P/E ratios, little up to dwell on here. Clearly, the EPS and the EBIT-to-sales margin is down, or both down, not significantly, but they're not as good as the positions we've had in the first half of '12. But our financial strength is apparent from our debt service ratios, if you can see there. 
 In summary, solid result but not quite as we'd hoped. Second quarter was $34.8 million, the first half is $78.6 million excluding asbestos adjustments, ASIC expenses and tax expenses. Higher sales volume in U.S. and Europe assisted but the price was constrained and we've had volume weakness in the Asia Pac businesses. We've had higher SG&A expenses both through funding of initiatives in the business, as well as the $5.7 million New Zealand charge and assisted by the recovery from the ATO in relation to labor costs. 
 Turning now to FY 2013 guidance. In August, when we released the first quarter results, we provided guidance of $140 million to $160 million. We've narrowed that range this morning to $140 million to $150 million. Clearly, that's reflecting the $5.7 million that we've taken in the first -- in the second quarter. So there's -- the erosion isn't quite as it comes across in that narrowing of the range, but we do think that $160 million is out of attainment for this year. 
 There's a couple of things that we would comment on that. One is clearly, we're anticipating that the U.S. housing recovery will continue. Things may not go on as anticipated, but to the extent that there's any erosion of debt recovery, then it's clearly not going to help attainment of that result. We've also not allowed for any additional provision in relation to New Zealand product liability. We can't see any reason at the moment why that might arise but it is dependent on there not being significant shift in that, and also on the U.S. dollar-Aussie dollar exchange rate, which is currently about 1.04. 
 So that concludes my part of the presentation, and I'll just hand this back to Louis for our Q&A. Thank you. 
Louis Gries: Thanks, Russell. We'll go investors and analysts first and then finish up with media. 
Unknown Analyst: Yes. Can you just clarify a bit more around pricing, so to the extent you're -- there's not many small builders around anymore, you're selling to the big builders. Is that having an impact in pricing, in terms of... 
Louis Gries: Yes. The big builders are going to increase a little bit coming out of the downturn, but not enough to really notice in our results. So it's more the price that Cemplank's being sold at relative to before we lost the category share a couple of years ago. The fact that there's more Cemplank, so during the downturn, the builders basically got more price conscious, so those guys that were on the fence between Hardie and Cemplank, some of them went to Cemplank. And then multifamily is a bigger piece and multifamily is at a lower price in some key markets. So it's more of a -- it's those things rather than big builders. Big builders, I think, they're going to go up about 4 points from where they went into the downturn, where they come out on the market share of the total housing market, but that's not enough to really change our numbers. 
Unknown Analyst: The extra R&D expense, is that more -- is that something we should see -- we should expect... 
Louis Gries: Yes, it's part of that, we're spending to kind of get ready for growth so -- and R&D projects usually run 3, 4 years so, yes. You might see some quarters where we don't spend it. It's project-driven but, I think, for the most part, you should see our R&D spending up a bit. 
Unknown Analyst: And Louis finally on U.S. housing, second quarter, 6% growth; first quarter, 17%. It's never going to be a straight line, but is there anything you're seeing that should indicate anything other than an annual about 15% growth? What are you feeling about those, the pace of the growth... 
Louis Gries: I don't think we'll get 15%. I mean, I think new constructions went up low 20s, and more of that multifamily than single-family. And then I think R&R is up about 2%. So when you put them together, it probably doesn't come to 15%. It probably comes more to 8% to 9%. Now if you can see that through other companies, and you just got to figure out which companies are highly tied to new construction and which companies are kind of more tied to R&R in the split. But that's our -- we're 4.5%, we're up 11% so we're seeing the market up 7% as far as our opportunity, that includes Canada as well. 
Unknown Analyst: Yes, I was meaning -- the 15%, I was meaning to, for new construction, so if we look at single... 
Louis Gries: Yes, yes, our new construction, I don't know. 20s look -- we've got, what, 3 20s in a row, so I think most of the market feels like they're going to hold that pace. 
Unknown Analyst: So that's most -- as you point out, mostly multifamily rather than... 
Louis Gries: More multifamily than single-family, for sure. That's more the case in Canada than the U.S. it’s pretty interesting. Multifamily in Canada is appreciating much greater. Now our penetration in Canada is fairly low, so Canada is not driving our numbers either. Although we are getting a pretty good business in Canada, it's still fairly low penetration. 
Unknown Analyst: It's Michael Walsh from CBI. I think you made a point in the presentation that you expect the pricing to be flat for the full year... 
Louis Gries: No, I don't know if we'll get to flat, but I think it'll start flattening out. 
Unknown Analyst: Sorry, I thought you said flat for the full year. 
Louis Gries: Yes. No, I don't think we'll get to flat. So we're 2% down, we've got to be 2% up, and we won't get 2% up for the rest of the year. But instead of seeing 2% down every quarter, I think you'll start seeing flat and then eventually it'll come above flat. But if you look at the full year and I did a guess, I didn't calculate it, but I'd say maybe your down at a 1.5% for the year, by the end of the year rather than down a full 2%, would be my wild guess. 
Unknown Analyst: Okay. And then you also made a comment around the IPSC [ph] business, I think, in the medium term, getting better. Irrelevant of -- or independent of what the market actually does, what's going to drive that, it's improvements? 
Louis Gries: Okay. Is that Asia Pac? 
Unknown Analyst: Yes. 
Louis Gries: Okay. Yes, we have a very good business model, especially in Australia. And New Zealand, I think, is kind of getting themselves reset. Europe’s ran hard for a while there. They've lost a little of their traction so I think they'll get that back in a quarter or 2. Yes, I just believe that the houses that get built around here, more of them are going to have more fibre cement. And I think most of the incremental we get rather than Buckridge [ph] or PSR [ph] because it's more around the Scyon product line than it is around traditional products like Hardiflex and [indiscernible]. 
Unknown Analyst: And then just finally, Russell, you made the comment around the ICI cost that you got back for only a fraction of money you've actually spent. Are you sort of signaling that you expect to get more back? Or is that it? 
Russell Chenu: Won't be any further recovery. All done. 
Unknown Analyst: Just 2 quick questions. One, you mentioned the order file was looking reasonably positive. I wondered if you could expand a bit about that. 
Louis Gries: Yes, just said it's more like -- it's actually a little bit above our forecast now. So again, if I look at that 3 quarters together, it kind of makes sense. If I look at the second quarter -- I think what happened in the recovery is our lag changed. I think dealers are actually bringing board in quicker when they see the starts than they were in a downturn. So I think they brought board in quick in the first quarter than they left things settle down in the second quarter. And now we're probably back normal. Now having said that, I mean we're only what, 5 or 6 weeks into it so. 
Unknown Analyst: And a second question was just around the manufacturing overhead. I understand what the SG&A part that you've talked a lot about, the S part. But it's the manufacturing overhead change I'd be interested to hear more about. 
Louis Gries: Yes, that's a good question. It gives me an opportunity because I made a kind of overall comment. We took costs out and we're putting it back in. The way we took cost out, and a lot of you would know, we were building not quite one plant a year at Hardie, but we're building a lot of plants and had a lot of capacity. We had a construction organization to do that. When we hit the downturn obviously, we weren’t going to buy -- build plants, so most of those people went into the business and displaced other people that were in the business whether they'd be project engineers or project -- now we're in the process of pulling those construction people back out. We're working on construction projects and we're hiring in the plants. So we'd be an organization about 15 or 20 people that are fairly highly compensated people that basically build things for us in the U.S., and we didn't use those people in the downturn in that function. So now we're back to using that. So that's probably the biggest area right now in MD&A. 
Simon Thackray: Simon Thackray from Nomura. Just want to step back a bit and talk about the mix of volume between new housing and R&R market, first of all. And help me understand how the capacity comes online, what should we be looking for? Is it the capacity utilization? And so just start with those 2 questions. 
Louis Gries: Okay. So our new construction -- the way we look at the mix -- and you can calculate it. Our guys calculated it, and the number I saw was they feel like 40% of our business has now come from new construction up from 35%. Okay, so it's been a small change. The way that change happens is the new construction market just gets bigger and our share stays the same so we get more bored out of that segment. The reality is our job is to grow market share in both segments. You can add multifamily in there as well and have all 3 segments. But in the downturn, we're very focused on repair and remodel. We were trying to hold our own in new construction and growing in R&R, which we were successful in that. And now we're trying to grow in both segments again. So we're now -- the resources we're putting back in are about growing in new construction. So I think the percent new construction will go up because I think our -- I'm not talking about next quarter, I'm talking more about next year. I think it will go up because I think we'll start growing market share quicker in new construction, and of course, new construction is going to grow faster than R&R. So when we get back to 50-50, I'm not sure, but certainly sometime in the next 3 years, I would think we'd get back to 50-50 type for each segment. And I do think our market share will be higher in both segments in 3 years time as well. 
Simon Thackray: Is it a rate of growth at which you do worry about the capacity... 
Louis Gries: Well, housing growth, yes, it's pretty high though. So in the current market growth, we have a lot of coverage. Now if it really did spike, we'd have to scramble and kind of get around optimizing capacity around certain products. We don't anticipate we'll be in that position. The sequence of capacity to come online, we're starting the machine at -- we're actually [indiscernible] the second machine. We're [indiscernible] that's been down through the downturn is starting up about a year ago, maybe not that long ago, maybe it was 8 months ago. We started running all 3 machines in Plant City, so we didn't increase our gross hours in the facility but we started moving from machine to machine. So that way, those 3 machines are ready to grow 24/7 pretty quick if we need them. We don't think we're going to but now, we know there's no lag, time lag. If we need them, we have them. I think Fontana will start in about 15 months, right before the 15 months and not for this coming selling season but for the following one. We haven't finished that capital but -- capital plan, but I think we're far enough to know we're going to convert one of the 4-foot wide machines to a 5-foot wide machine. What that will do is that will allow -- because California has high raw material cost, high energy costs and people costs that are a little bit higher, not as high as they used to be. So we had to get some advantage for that plan in order for it to compete with our more modern facilities. Basically it's going to have a very tight shipping radius because our Backer business around Fontana is very well-developed. It doesn't have a 5-foot line so the backer was coming in from other plants. We're putting that 5-foot line in there so it'll makes planks, panels all and backer all for a very fairly tight radius. So I think that'll start in about 15 months. Somerville is a similar plan. It's been down for a while. I think it's more valuable as a Hardie Backer plant than a siding plant. But we haven't proven that it can make Hardie Backer, so we're going to start Summerville up probably on a 6 day-a-month basis or something like that sometime in the spring and we'll run our Backer trials. And the reason we don't know if it can make Backer is because this is an old Cemplank plant, and they're very wide. I think the width of the line is about 13.6 inches, where our normal lines are 5 inches. So Backer has to be flatter than a plank product because you don't cut it into cuts. You sell a 5-foot wide product. So if we can turn that into a Backer line, I think that really simplifies our capacity planning between Plant City and Pulaski. So that's -- we're going to do a lot of work in that next year, and it'll cost us some money to do the work but it's a big payoff if we can turn it into a Backer plant. So those are the kind of -- and then we're going to add term capacity in Peru, which is a smaller project. 
Simon Thackray: So in terms of actual CapEx then... 
Louis Gries: We're going to start hitting some 100-plus numbers in CapEx. We might even hit 150 or something. But right now, we just don't have all that planned. But we are going ahead. We need Artisan on the East Coast. We need more trim because -- so we have Waxahatchie [ph]. We're spending some money instead of Fontana kind of reengineer. And if we go to Backer and Sumerville, it'll be a similar situation there. We're also looking at another sheet machine in Texas in one of the existing facilities probably, because our Trim product in Texas has continued to grow well. So that's using up a lot of our capacity in the Cleveland plant so we're looking at dropping other sheet machine for planks in the Cleveland plant. So we do have a lot of capacity projects we're working on right now. 
Simon Thackray: Okay. And just finally, you made a comment earlier that the organization probably hadn't responded to the upturn quite as you'd expected. Can you just elaborate? 
Louis Gries: Probably my fault more than theirs. Maybe my expectation was just a little bit under... 
Simon Thackray: Too high… 
Louis Gries: It's not that we're -- the business ran well. By the way, one of the things I didn't cover is manufacturing had a very good quarter. This year, manufacturing is just having a really good year. So a lot of work we did in the downturn is now transferring very well to higher utilization and that's why you don't see us panicking for new capacity, because most of our lines are actually producing more per day to a reasonable degree. I'm talking about 10% or 15% than they did before the downturn. So it's not that we're not running well. So I don't want anyone to think we forgot how to run a fibre cement business. It's just the challenge of the market recovery, which I guess naively I think, well, that's all upside, that's easy stuff, extra volume. You just decide kind of where to source it from and where to put the money. But the reality is, like I said, we brought the organization down and this example that David brought up about construction people is a good example because now we've got 15 or 20 people come out of our plants working on construction, and you've got to put 15 or 20 people in your plants. So that's usually recruitment -- external recruitment. And most people, that first 6, 12 months isn’t their most productive time with the company. So it's just a lot of that stuff. It's just -- and then I will -- I do need to be honest. The pricing situation at Hardie kind of threw a lot of us through a loop. It definitely went further than we thought it was going to go. So we've been kind of trying to sort that through, and because we don't want to just shove a price increase through the market to cover up our problem. Our problem is we didn't execute as well as we should have, and we got into tactical pricing around category share. So we just don't want to put a price increase in the market to mask that. We'd rather kind of fix the thing correctly and look at price increases in the market separate to kind of what I consider a tactical pricing problem. 
Jason Steed: It's Jason Steed at JPMorgan. Maybe back to the question on the order file. Just interested in whether you're seeing any mix shift in sort of the latter 2 quarters of the year. And if not, when you expect... 
Louis Gries: I think our product mix shifts have been consistent, a few of them flat. So color's growing, trim's growing. Backers becoming a little bit less of the business because of sidings growing with the new starts. Cemplank grew more than the business, so that became a bigger part of our mix. And therefore Hardie Prime grew less than the business. So for the most part, those are like 3 or 4 year trends. Not a lot going on, a little bit as you go from more new construction, less R&R. R&R has more color, has more Hardie, has more trim. As you go to more new construction, that kind of dampness that trend. But nothing unusual happening. 
Jason Steed: And just on color, you mentioned a couple of months ago in the U.S., that color probably hadn't been executed as well as you'd like it to have been. Are you -- have you implemented -- has that... 
Louis Gries: Yes, we -- I can't remember in September. Had we already switched the structure to a color business manager, Ryan Sullivan. 
Sean O’Sullivan: I think so, yes. 
Louis Gries: Yes, so we have. So we -- basically for those of you not there in September, what I tried to communicate is we're still prime business with a kind of color off to the side. And since color is kind of one of our real core strategies, we needed to become a color business as well as a prime business. So we have structured that way. So Ryan Sullivan, one of our long-term senior guys at Hardie, he's taken on color and he's brought enough resources and exclusively on color, product management, cost management, capacity and that stuff, to where they work in a color organization now. But they still source the production in the network of plants, but they have a lot more say on kind of what goes on every day with the color business. So do I think we've taken the early steps to move forward the way we want? Yes, I do. But I do think Ryan's work will mean that we'll do things a little differently in the future than we've done in the past. If you remember, the Northeast is very high-color; Midwest, high-color but not as high as the Northeast. So we've got to figure out why that is, why there's -- why does a market like Boston hit a terminal color share of like 85 or 90 and a market like Minneapolis hit one like 50, okay? So we've seen some of those Midwest markets start to flatten out at that 40-to-60 range. I don't quite understand that. So Ryan's working on that. And then the other thing in the South and the West, we think there's value creation in color but our new construction customers aren't seeming to recognize it. So if we don't get a premium for color, if they're not willing to pay a premium for color in the South and the West, then they shouldn't buy color because there is value there. So us just giving them the value and not taking any for our shareholders doesn't make sense for us. So we do have some kind of redo work in the South and the West on color. Some of that has to do with supply chain, some of it just has to do with the fact that painting is fairly cheap in the South and the West, so economics we can offer the people in the North don't transfer well there. We probably have to be a little bit more restricted on the segments we go after. And again, R&R is a much better segment for color than new construction and that goes -- that would be a statement about the South and the West. 
Jason Steed: So another question for Russell on capital management. Is there any reason that you've chosen to do it or looking to do via the buyback, rather than just going for a high payout rate, a high dividend now? Is there an advantage from a tax perspective, structure perspective, that you're going to hold it through potentially a buyback, and if not, then roll it into a dividend? 
Russell Chenu: No. For the company, Jason, I think we have a view that the outcome is pretty much the same. So we've very deliberately chosen a preference of mixing large dividends and some share buybacks, share buyback activity. But if the share buyback isn't attractive to us as a company, then we're quite happy to distribute it by way of dividend. So it's something that we're timing on an annual basis and we'll take advantage of share buyback if we can. If we can't, then we'll use the same funds to just allocate it to dividend. 
Jason Steed: And the $150 million, if you're looking toward the capital structure, what you said in the past in terms of what gearing might be comfortable, call it, 30%. $150 million obviously still leaves you virtually ungeared or not particularly geared. Is there a reason that you didn't do more? 
Russell Chenu: No sort of overwhelming reason other than the fact that this is something we want to do over time. So we’re only looking 1 year forward for each of the share buyback or the dividend distribution. And I guess at the moment, we'd feel a little constrained. Louis just alluded to capital expenditure plans and on 2, I think we've got a better handle on exactly how much and when. We're probably being a little conservative in terms of the outlook, very deliberately. 
Louis Gries: Any other questions from the room? Any questions on the telephone? 
Operator: Your next question comes from Emily Behncke, Deutsche Bank. 
Emily Smith: I just have a couple of questions. So I was just wondering relative to some comments on market share. I think in the past, you've indicated this year maybe around a percentage point of share you're expecting to gain. And I'm just wondering if you're on track to deliver that. And secondly, just wondering if you can give us a little bit more color on the repair and remodel market performance at the moment. 
Louis Gries: Okay. On market share, so I indicated first half for about 4.5% to 5% on PDG. So that's just a straight calculation against, say, a 14% market share. Whether you get the point or not, I think you'll come up a little short if we finish the year that way. When we came into the year, we were aiming for a 6% PDG. It's still in play. I don't know if we'll get there but it's still in play. So if we get this fixed, then I think it translates to better to maybe a percentage pickup. As far as R&R, our R&R in our program in the north is really good, and you guys understand it now. We're running it in a lot of markets, not just a handful of markets. We're doing well there. So our market share gains, north constructions -- northern regions against vinyl is very good. In the South, on our R&R gains are really against ourselves to a large extent. So we have a lot of fibre cement standard markets that people use our planks for R&R as a standard whether they buy it through the pro channel, more reside contractors or they buy it through the Home Depots and the Lowe's. But what they don't normally do is they don't buy all the product they need for the house or could use on the house. And that would be your corner boards, your window trim, your soffit and then facia. That's the bigger opportunity in R&R in the South and the West. In color, if we can get the color, high percentage of color, that helps kind of attach those things all in the job. But overall, it's a -- that's kind of on the market side. The #1 thing we accomplished in the downturn was we got our programs and R&R kind of designed and well-understood in our organization. So we run it pretty well. New construction market share, we're just getting started. So we'll be on the flat part of that curve for a while. So any PDG growth you're seeing this year you're probably seeing coming out of R&R rather than new construction. 
Emily Smith: Okay. And just interested in your comments around the margins getting back to 20% to 25% range in FY '14. Is that a result of increased capacity utilization or reduced new investment in inside sales or sales force or how should we -- what's the main driver of that? 
Louis Gries: Well, I think part of it just the volume catching up to the stem. So like we're kind of clear in communicating, we're putting things in the business before we have the volume to pay for it. So hopefully if we get some kind of volume growth next year, that's kind of indexes to the market plus some, you're just catching your volume up to the spend. I do think our pricing funk we've been in an increasing market, there'll be opportunities not only to take care of the tactical part but to look at some market increases. I'm not saying we're going to take one in the short term, but in an increasing market, materials tend to go up and I don't think ours will be an exception necessarily. Manufacturing, actually that might be a little bit of a drag on the 20%, 25% range because we'll have a lot of startups going on. So startups, you expense. So plant isn't near as efficient. First 180 days as it is as an ongoing plan. But I don't think it's a major factor. We've always absorbed those startups pretty well in the past and I think we will. But that doesn't work for us. It kind of works against us. 
Emily Smith: And maybe just finally, Russell, in terms of the capital management that was announced, I think Jason talked about a question maybe you could have done a little bit more. Does that mean that maybe we can look at a particularly high dividend in FY '14 again if the balance sheet allows? 
Russell Chenu: We've announced a dividend payout ratio of 30% to 50%. I think that's the guidance that we'd give for FY '14 and beyond, Emily. 
Emily Smith: So a buyback is unlikely to continue in FY '14 as well? 
Russell Chenu: No, I wouldn't say a buyback is out of the question. I mean, one thing we flagged when we announced the change in May of 2012, which is still on foot, is that we anticipate that in the right sort of market conditions, we could be quite active in share buybacks and that's not exclusive from dividends. 
Emily Smith: And what are the right market conditions in your view? 
Russell Chenu: It's an actual natural return. So we need to see a market condition where we think our share price is attractive enough for us to get a financial return from it. And that's all measured by earnings per share increment, return on equity, impact on [indiscernible]. 
Louis Gries: Well, I'll add to Russell's comment. I think, without screwing up his guidance, basically, I think most of you are more aggressive on the balance sheet than we are. So we're a fairly conservative company on the balance sheet. But we acknowledge we shouldn't be sitting with 0 debt. But we're uncomfortable is just trying to fix that. We're uncomfortable and also somewhat restricted just trying to fix that overnight. We are going to move the lever balance sheet, but it's probably going to take about 4 or 5 years. But every year, you should see us moving further down the track. And then of course, on our share price, we're like you guys. We don't -- we won't be buying when it's high and sell -- we don't sell, but we don't want to be buying when it's high. So if we see opportunities to buy and it makes a lot of sense, we'll be in the buyback market. And that isn't that we don't think our -- we think our share price is ever overvalued. It just means sometimes it's more undervalued than other times. So today is a good day. 
Operator: Your next question comes from Peter Rowling [ph] from RBC. 
Unknown Analyst: Look, I just wanted to ask a question about the asbestos compensation fund. I just wanted to find out how high does that set up on the agenda at board meetings. And how important does the management of that remain in the rebuilding of the James Hardie reputation? 
Louis Gries: Okay. I think our track record on the fund's pretty clear. I think the original fund didn't have enough money yet. Everyone kind of came to that conclusion by 2004 something. But Russell, one of the first things he did, when he took his current role stick to lead on negotiating a fund that we felt contributed the money that was going to be needed for claimants over a long period of time. So it's what I would say is a pay as you go fund. So Hardie's 100% in compliance with that. The state government -- of course, it was -- we worked on it with the state government, the unions, the claimants groups and the, yes, state government and ourselves. So everybody's behind the fund. The fund has been working really well. I think the balance right now is $171 million. Obviously, that was helped out by the win on the RCI tax case. But even last year, when the funds were -- the claimants' requirements were higher than what was in the fund, the state provided a backup facility for the fund. So now it is managed outside of Hardie. It's consolidated in our results, but it's managed outside of Hardie. It has its own board. Our board meetings, I don't want anyone to think we're kind of working on fund issues in our board meetings. Our company -- our board kind of helps us run the company and then the fund board actually runs the fund. So we think it's been working very well. The fund believes it's going well. They're very happy with the relationship with both the state and with Hardie. So I think that's one of the real positives that's evolved over the last 5 or 6 years for Hardie. Over the last -- since 2001, we contributed $900 million to the claimants funds. $300 million in the first fund and then -- roughly $300 million in the first fund and $600 million since we established the second fund. Any other questions on the phone? 
Operator: We have a question from Andrew Peros. 
Andrew Peros: I'm just trying to get a feel for PDG again, sorry to harp on this. But I think you mentioned it was negative 1% for the quarter, and you guys are about 4.5%, 5% for the first half. I'm just trying to reconcile that with what some of your competitors are reporting, which is relatively strong PDG growth over that period. Can you perhaps provide us some more detailed comments around that to get a better understanding of how you guys might fair for the balance of the year? 
Louis Gries: Yes, I'm not sure what you mean by competitors, if you're talking about other building materials companies or competitors in the siding business. But just go through the mechanics of PDG. One, it's just the calculation's not a good calculation on a quarterly basis. It's just too short a period of time. I think it's pretty good year-to-year and it's good for kind of 4 months -- I mean, 4-quarter rolling average. PDG is about our exterior business. It's not about our Backer business, okay? So 25% or 24% of what we sold last quarter was Hardie Backer, so that's outside of the PDG calculation. As far as what our competitors have done in siding, yes, you have the -- all the different types. You have brick stone, stucco, fibre cement, wood and vinyl, okay? The main ones we track are wood, vinyl and fibre cement, obviously. Fibre cement, PDG for the 3 quarters, now I’m going to really confuse the calendar year, is very similar to what it would be for the engineered wood part of the wood segment. Now as far as cedar siding, which is a natural wood, plywood siding, we don't have a good way of measuring that, okay? Now neither those categories appear to be growing so it's not a big deal. But us and engineered wood siding or chipboard siding basically, seem to be growing at about the same rate. Maybe they're a little bit ahead on a little smaller base, or maybe it's about the same rate. Vinyl siding is giving up the share, and you can see that -- I think a lot of you would have access to what they call vinyl siding institute numbers. You can see vinyl siding is still giving up share, and that's probably even accelerated a little bit. So if you're talking about other building materials companies as our competitors, like gypsum companies and roofing companies and things like that, that's where you've got to figure out how much of those companies' business is -- volume increase is driven by new construction and how much is driven by R&R, kind of how does that compare to our mix. 
Operator: We have a follow-up question from Emily Behncke from Deutsche Bank. 
Emily Smith: Just a follow-up on my margin question earlier. You indicated that with improved volumes, you would expect some margin improvement, obviously manufacturing a little bit stronger. But is it fair to assume sort of when -- as the market recovers, that we should continue to expect margins to improve, and at the terminal year you'll be above that 20% to 25% margin range? 
Louis Gries: Yes. Well so far with the volume improving, you haven't see that. So I'd worry if I were you. But in reality, you should. I just think we're too early in the recovery. Basically, any business, as they more fully utilize their kind of fixed cost in the business, whether it be salespeople, marketing spend, planned investment, whatever it is, should get better returns, obviously. But even -- or returns. Yes, and then terminal share. I think the only thing there, the tricky thing there, I hate to introduce it here because it's a bit of a concept you've got to think about, so it's more of a September tour concept. But the question is, I mean, right now -- historically, we sold most of our board in the South and West and it's been prime board, okay? And in the future, most of our growth will be outside of the South and the West prime board markets. But That Southwest prime board is a very high-returning board. So the bottom of the market and the top of the market are unlikely to return at the same rate as the middle of the market. I think the kind of what -- it doesn't make that an issue for us is because I do think our kind of market position and our efficiency and our business gets better every year. So that just generally lifts up all margins. So even though the top and the bottom, which is going to be a lot of the new business, won't be at the same margin as the middle of the market, it will still be the market that all adds -- I mean at a margin, that all adds up to kind of the right level. So it's no guarantee that it's higher at terminal, and it's no guarantee that is higher at 6 or 7 years. But if we're successful running our strategy and we continue to grow fibre cement category, and we continue to maintain the lion's share of that for ourselves, what is pretty guaranteed is you can have a lot more dollars. And how the percentages work out, now that's less known than how many dollars are probably going to be there. 
Operator: Your next question comes from Philip Bare from Morgan Stanley. 
Philip Bare: Just a quick question on capacity expansion in Australia. Can you give us any more detail on when you expect you will have resolved that issue just in terms of timing and location? 
Louis Gries: No, I think the good news is we're not under pressure to make a decision quick. But the bad news is, it's just way too expensive. There's a significant amount of work we need to do to get the number to work. And when I say that, it's not obviously, we don't have a balance sheet problem. It's just the dollar invested per dollar revenue is off. And it's not off by U.S. standards, it's off by what we consider Hardie Fibre Cement business model standard. So we don't expect it to be the same as the U.S., okay? Where you build capacity much cheaper in the U.S. than we can in Australia. We know that, okay? Part of that has to do just the difference in geography, the difference in the economies, the exchange rate in Australia is probably not -- the really strong exchange rate is playing a part. There's also a learning curve. It's because it hasn't been run down here, a lot of the bids have these insurance premiums in them to make sure they know what they're getting into if things go a little bit wrong for them, they still make money on the job. So in the U.S. where we have the same contractor build let's say, like, 7 plants in a row, they were able to really zero in on what it cost to build that type of plan and they didn't have any fluff in their bids. I think there's a fair amount of fluff in the Australian bids at this point. So it just doesn't work. It's just too many dollars per output of revenue. And you've got to get down quite a bit. It's not like we got to get down 5%. We've got to get down quite a bit. So we're working on that. And when it's going to happen, I'm not sure. But it'll happen before we need it to happen, meaning we won't run out of capacity in Australia trying to figure out the perfect investment for capacity down here. 
Operator: We have no further questions in the queue at this stage. 
Louis Gries: Okay. I think that takes care of all the questions from investors. I'm not sure if we have any media questions. Yes? 
Unknown Analyst: [indiscernible] the first half of next year, we got the fiscal cliff, the debt ceiling issues, possible credit rating downgrades perhaps. What extent do you think that might derail whatever recovery you're expecting in the housing sector? Or do you think to some extent, that's already in place and that there's a certain amount of immunity there? 
Louis Gries: First thing I need to tell you is I'm not an expert on economics, even U.S. economics. So yes, I'm aware of all the situations. I think where we're at in the U.S., most of us feel that even if we have some bumps not shocks, but some bumps, higher tax rates, stuff like that, the housing -- we starved the market for housing long enough to where it will still grow. It may not grow at the optimum rate if we didn't hit those bumps but it'll still grow. Having said that, if it doesn't, then we're back to like every other company dealing with the reality and reacting to a lower demand. But myself and most people in our industry just don't see that happening. We think we will be at least some increase in housing next year over this year even if we have some political bumps in the road. 
Unknown Analyst: I've got one question about Australia. I just wanted to -- if you could to zero in on the specifics of a comment you made. You said even if the market in Australia doesn't get much better, we think our results will get much better. 
Louis Gries: I think we performed below average of where we usually perform. I don't think that's going to carry on too long. So again, we're a quarterly reporting company. So you see 3-month slices of our company. I think we just had less than what we had expect-type performance as we went into a softer market in Australia. A lot of faith in the organization down here, I just think they'll start running the business better, given the market conditions, if it doesn't increase. 
Unknown Analyst: Just one final question. Have you had a chance to watch the ABC series Devil's Dust? 
Louis Gries: I have not. I just got here Wednesday morning. 
Unknown Analyst: Are you intending to watch it? 
Louis Gries: I'm going home so I don't know if I'll watch it or not. So our company's history on asbestos is well documented, so I'm aware of the company's history on asbestos. It was before my time but I'm completely aware of kind of the history on Hardie asbestos. I'm also aware of the contributions we made before the fund, the first fund and then the current fund, which I think the current fund, as I commented earlier, is just very appropriate fund for the type of liability we have as a company. 
Unknown Analyst: Do you think Hardie has left the issue of asbestos as a problem behind for good? 
Louis Gries: I think all the investors in the room know that every year we generate cash flow, some of it goes to the fund. So I don't think Hardie and asbestos ever gets separated. It's a very a long-tail liability. But I think what we've done is put a fund in place that it manages the situation for investors and for claimants. So it's kind of a balanced approach. The pay as you go seems to work much better than the Chapter 11s in the U.S., which is the standard way of dealing with an asbestos liability. 
 Okay, thanks, everyone for coming and see you next time.